Operator: Ladies and gentlemen, thank you for standing by, and welcome to MINISO's Earnings Conference Call for the Third Quarter of Fiscal Year 2023 that ended March 31, 2023.  At this time, all participants are in a listen-only mode. After the management's prepared remarks, we will conduct a question-and-answer session. Please note this event is being recorded. We have announced our quarterly filing results early today. An earnings release is now available on our Investor Relationship website at ir.miniso.com.  Joining us today are our Founder and CEO, Mr. Jack Ye; and our CFO, Mr. Eason Zhang.  Before I continue, I would like to refer you to the safe harbor statement in our earnings press release, which also applies to this call as we will be making forward-looking statements. Please also note that we will discuss non-IFRS financial measures today, which we have explained and reconciled to the most comparable measures reported under the International Financial Reporting Standards in the company's earnings release and filings with U.S., SEC and Hong Kong Stock Exchange. In addition, we have prepared a PowerPoint presentation for today's call, which contains financial and operational information for this quarter. If you're using Zoom meetings, you should be seeing it right now. You can also revisit it on our IR website later.  Now I'd like to hand the conference over to Mr. Ye and Mr. Zhang will translate for Mr. Ye. Please go ahead, sir.
Jack Ye: [Foreign language]
Eason Zhang: Hello, everyone, and welcome to our earnings conference call. We delivered a strong start to calendar year 2023 with the best March quarter performance in our history, shaking off 3 years of uncertainty caused by the pandemic. Driven by the strong recovery of our offline operations in China and the continued development of our overseas business, our revenue for the March quarter increased by 26% year-over-year and reached RMB 2.95 billion. I'm also pleased to see that our margin profile continue to beat expectations. Gross profit margin of all business segments saw healthy year-over-year improvement, bringing the overall gross profit margin to 39.3%, which is 9 percentage points higher than the same period last year. Adjusted net profit exceeded RMB 418 million, an increase of 336% year-over-year. Adjusted net profit margin expanded 16.4%, a 12 percentage point increase compared to same period last year. Both figures set new records for MINISO.
Jack Ye : [Foreign language]
Eason Zhang: I now walk you through business updates for our three major segments it's China, is overseas and TOP TOY.
Jack Ye : [Foreign language]
Eason Zhang: I will start with MINISO brand China business. which recorded RMB 2 billion in revenue for the March quarter, a year-over-year increase of 19%. Within MINISO China business, revenue from offline stores totaled RMB 1.83 billion, a year-year increase of 12% -- of 25%.
Jack Ye : [Foreign language]
Eason Zhang: As we shared during the last earnings conference call, January was the best month in terms of domestic offline sales in MINISO's history. In February and March, as the pent-up demand from the pandemic gradually dissipated and the Chinese New Year holiday ended, the pace of recovery in retail industry moderated to a certain extent. That said, our performance continued to outperform the industry according to data from the National Bureau of Statistics. Retail sales consumer goods in China increased by 4.9% year-over-year in the March quarter, while MINISO China's offline business recorded over 25% year-over-year. Our per store GMV in March quarter has essentially returned to the same level of the period in 2021, reaching around 85% of the pre-COVID level in 2019.
Jack Ye : [Foreign language]
Eason Zhang: Entering April, we have seen sustained strong performance and even marginal improvement in store level performance. Total offline GMV increased by 80% year-over-year, higher than the 16% of sales growth in retail sales of consumer goods reported by the National Bureau of Statistics just today while per store sales increased by 50% year-over-year, reaching 85% of pre-COVID level in 2019, representing a substantial sequential improvement from the previous 2 months February and March. During the Labor Day holiday, total offline GMV increased by 75% year-over-year, per store GMV increased by 45% year-over-year and to a comparable level of 2019.
Jack Ye : [Foreign language]
Eason Zhang: We opened 58 new stores on a net basis during the March quarter, double the figure from the same period last year. More than 53% of new stores were in Tier 1 and Tier 2 cities. In addition, store closure reach was 0.6%, a record low. The strong performance further bolstered the confidence of our regional partners, and we are quite confident now that we will meet and exceed our strong -- our store opening target of 250 to 350 in calendar year 2023.
Jack Ye : [Foreign language]
Eason Zhang: We are firmly committed to pursuing high-quality growth as we stressed in our previous quarters in addition to maintaining steady pace of store openings. We continue to improve store performance with better merchandise and operations in 2023.
Jack Ye : [Foreign language]
Eason Zhang: From a merchandise perspective, we adhere to our IP strategy as a core and focus our efforts in strategic categories. This [indiscernible] in the past quarter and our merchandise gross margin increased by nearly 7 percentage points from a year ago. Let me first address our IP strategy. As scheduled, we launched a highly anticipated series [Pokemon] IP products in March quarter. We collaborated with Pokemon to design multiple high-quality products featuring classic characters. This product generated a great response from consumers and sold out soon after their release. As we emphasized last quarter, we are going to surprise and delight our consumers with an exciting series of IP collaborations in 2023. In upcoming quarters, we will be unveiling collaborations with blockbuster IPs.
Jack Ye : [Foreign language]
Eason Zhang: Second, we remain focused on strategic categories, which we define as categories with marginal revenues, global peer and high growth potential. Take perfumes as an example, we believe this category exemplifies MINISO value proposition of Betterlife and has strong emotional resonance with consumers. In China, we have identified perfumes as our most important strategic category in the March quarter. Sales of perfume products increased by 60% year-over-year. Sales contribution increased by 1 percentage point. Furthermore, sales of 70% of perfume related SKUs met our internal standards of best sellers, indicating a significant increase in the success rate of product development.
Jack Ye : [Foreign language]
Eason Zhang: Accessories and another strategic category, we devoted a lot of resources to this year and we believe it has strong global peer. We had a solid foundation in this sector, and we continue to strengthen it by setting up a new warehouse in [indiscernible] and strengthen our designer team, and we hope to forge this category into a signature category in overseas markets by high-frequency product launch and more efficient logistics. The preliminary results have been very promising with its sales increasing by over 80% year-over-year, and sales contribution increased by 2 percentage points.
Jack Ye : [Foreign language]
Eason Zhang: Let's move on to our overseas business, which continued to maintain strong momentum in March quarter in the following aspects.
Jack Ye : [Foreign language]
Eason Zhang: Firstly, revenue from overseas market was RMB 800 million, an increase of 55% year-over-year, another record for the March quarter.
Jack Ye : [foreign language]
Eason Zhang: Secondly, GMV in overseas markets increased by 45% year-over-year with both the direct operated and distributed models achieving a similar GMV growth rate of around 45%, primarily driven by a 30% growth in personal GMV and an increase of 12% in our store number. All of our major overseas markets continue to experience rapid year-over-year growth in GMV including 100% in North America, over 60% in Latin America and about 30% in both Europe and Asian countries, excluding China.
Jack Ye : [Foreign language]
Eason Zhang: I want to stress that per store GMV increased by about 30% year-over-year in March quarter, recurring to around 80% of where it was in the same period of 2019. North America increased by 9% year-over-year and was 50% higher than in the same period of 2019 as we continue to see impressive growth in this region, the U.S. market has been our largest overseas market in terms of revenue contribution for two consecutive quarters, while Canada is also among our top 10 markets.
Jack Ye : [Foreign language]
Eason Zhang: In North America, we continue to enjoy tailwinds from merchandise, brand and operations. That said, as a company which operates globally will inevitably face geopolitical challenges. However, I'm pleased to see that our business in North America is increasingly integrated into or communities, providing value for money products to local consumers in such a high inflation environment and contributing to local employment and the tax revenue.
Jack Ye : [Foreign language]
Eason Zhang: I believe that only through sufficient globalization can complete in our position exactly mitigate country-specific rest. I'm pleased to see that in March quarter, per-store GMV recovery was also quite positive in the range of our overseas markets. For example, Latin America market saw year-over-year growth of over 40%, including a 60% growth in Mexico, and Asian market recorded a year-over-year growth of 15%, including a 90% growth in Singapore and 50% of both the Philippines and Thailand.
Jack Ye : [Foreign language]
Eason Zhang: Finally, let me provide an update on TOP TOY. revenue was RMB 114 million, a 24% year-on-year increase. As of quarter end, there were 116 TOP TOY offline stores, up 24 from a year ago.
Jack Ye : [Foreign language]
Eason Zhang: In the March quarter, our exclusive products made greater sales contribution and helped increase TOP TOY's gross profit margin by more than 2 percentage points year-on-year. China Bricks, the most important strategic category for TOP TOY, continued to play a key role in driving sales and accounted for more than 25% of TOP TOY's total sales during the period. The strong performance of China Bricks was the key driver of the increase in TOP TOY's gross profit margin during the quarter.
Jack Ye : [Foreign language]
Eason Zhang: Our design and talent pool continue to enlarge and mature, turning out a string of highly popular products in toy bricks category, including co-branding products with Sanrio's Kuromi. Rapid Bricking the future, Dawn Astronauts, [indiscernible] and others, we are particularly excited about on Dawn Astronauts, the latest IP product of TOP TOY's core operation with China aerospace. This self-developed series is designed to educate young consumers about space and cultivate pride in China's strong national aerospace industry. We are as firm as 2 years ago in long-term prospects of toy market, especially in China Bricks, which is TOP TOY's #1 strategic category. We are long-termists on TOP TOY business and will work very hard in product innovation as its key focus. We aim to grow this business further and establish it into an influential brand in this industry.
Jack Ye : [Foreign language]
Eason Zhang: 2023 marks MINISO's tenth anniversary as well as the first deal of our journey to become a super brand. On May 20, we will celebrate the grand opening of MINISO's global flagship store in New York City marking another milestone in our history as MINISO will become the first Chinese consumer brand to open a flagship store in Times Square global crossroads. We remain committed to executing our roadmap to transfer MINISO into a great Chinese brand -- a consumer brand. We will firmly anchor our focus on the transformation and continue to serve every consumer with the happiness philosophy. Thank you all very much. That concludes my prepared remarks. And now I turn the call to Eason for a review of our financial performance in March quarter. Thank you, Mr. Ye. Hello, everyone. Thank you again for joining us today. I will walk you through our financial results for the March quarter. Please note that all numbers are in RMB unless otherwise stated, and I will also refer to some non-IFRS measures, which have excluded share-based compensation expenses. Revenue in the March quarter was RMB 2.95 billion, an increase of 26% year-over-year, driven primarily by an 80% year-over-year increase in revenue from China and a 55% year-over-year increase in revenue from overseas markets. Revenue from China was RMB 2.15 billion, including RMB 2 billion from MINISO Brands and RMB 152 million from our business, including TOP TOY. Revenue from MINISO brand increased by about 19% year-over-year, driven by a year-over-year increase of 25% in revenue from offline store, but a year-over -year decrease of 23% in other smart channels. The 25% year-over-year increase in offline revenue was primarily due to a 19% year-over-year increase in per store revenue and 5% increase in store number. On a single-store basis, the number -- average number of orders and the average order value both increased by 8% year-over-year. So we were seeing quite healthy performance improvement across all of our operating metrics, including traffic, ASP and the numbers in March quarter. Revenue from overseas markets was RMB 800 million, increasing by 55% year-over-year. This growth was primarily driven by a 38% year-over-year growth in average revenue per MINISO store in overseas markets and 12% year-over-year increase in average store count. Revenue from distributed model was RMB 430 million, an increase of 47% year-over-year. Revenue from directly operated model was RMB 370 million, an increase of 64% year-over-year and accounted for more than 46% of total overseas revenue as compared to 44% last year. Gross profit was RMB 1,162 million, representing a 64% year-over-year increase. Gross margin was 39.3% compared to 30.2% in the same period of last year. The year-on-year increase was primarily due to three reasons, as we have explained in earnings release I want to make some supplementary note here. First, we have seen positive growth in GP margin in all of our business segments. As Mr. Ye shared earlier, merchandise gross margin in China increased by nearly 7 percentage points from a year ago. That translates into a higher increase in our accounting gross GP margin, say, 10% considering our revenue share percentage with retail partner is fixed. For e-commerce, its GP margin improved significantly, thanks to its operational optimization. Meanwhile, we took a series of measures to optimize TOP TOY's product mix and store operations, which helped increase its accounting gross profit margin by nearly 9 percentage points year-over-year. Let me remind you here TOP TOY's business model is now progressing towards the profit model we have planned 2 years ago. Second, when we look at the shift in our revenue mix, I think there are two major shifts here, notable: The first one is the increased contribution from overseas market as a whole. The second is the increased revenue contribution from our directly operating model from 44% to 46%, which has the highest GP margin among all business segments. Selling and distribution expense were RMB 432 million, representing a year-over-year increase of 23%. This increase was mainly attributable to increased license expense in relation to our IP products, increased personnel-related expense and logistics expense in relation to the growth of our business and to a net lesser extend, increased promotion and advertising spends primarily in collection with our strategic brand upgrade of MINISO brand in China. G&A expense were RMB 151 million, representing a decrease of up to 12% year-over-year. The decrease was primarily due to decreased personnel-related expense in relating to our cost control measures among our corporate crew and decreased depreciation and amortization expense due to the capitalization of our depreciation of land use rights in construction cost of headquarters building. Other net income was RMB 3 million compared to RMB 0.5 million in the same period of 2022. Other net income mainly consists of net foreign exchange loss investment income from wealth management products and others. The year-over-year increase was mainly attributable to an increased investment income and a decrease in other losses. Turning to profitability. Operating profit was RMB 576 million, a yearly increase of more than 300%. Net finance income was RMB 25 million, representing a year-over-year increase of 445%, mainly due to an increase in interest income from bank deposits. Adjusted net profit was RMB 483 million, a year-over-year increase of 336%. Adjusted net margin was 16.4%, compared 4.7% in the same period last year. Adjusted basic and diluted earnings per ADS was RMB 1.52 per quarter, increasing by 322% year-over-year. Turning to cash position. As of quarter end, our combined balance cash position was approximately RMB 7 billion compared to RMB 6.2 billion and RMB 5.8 billion as of December 31, 2022 and June 30, 2022, respectively. Turning to working capital turnover of inventories and trade receivables remain stable. As Mr. Ye commented, we delivered a strong start to this year with the best March quarter performance in our history, shaking all 3 years of uncertainty. Looking forward into June quarter, we expect our sales will continue to grow strongly on a year-over-year basis, driven by better store level performance and store network expansion. Meanwhile, our margin profile will continue to improve on a year-over-year basis despite the various challenges with by external environment we'll continue to focus on those elements of the business that are in our control and remain focused on our long-term strategic goals, delivering our globalization strategy, bolstering the strength of our product offerings and optimizing our store network. Thank you. And this concludes our prepared remarks. Operator, we are now ready to take questions.
Operator: The first question comes from the line of Michelle Cheng from Goldman Sachs.
Michelle Cheng : So, I have two questions for management. Firstly is for gross margin. Given gross margin continues to be driven by brand upgrade strategy, so can management comment on the gross margin upside and also the product mix adjustment progress? And related to this question is for the IP products. Can management share the IP products contribution right now and also the future target? That's my first question. And second question is regarding the overseas operation. So can management comment a different market, the [indiscernible] also the improvement progress. For some countries like North America. So what are the key drivers that we can do better? And also for certain regions, especially Asia, where is the pressure is coming from and also how we are going to adjust this?
Jack Ye : It's Jack here. Now maybe you still remember, we firstly introduced our MINISO brand strategic upgrade in last March. And then we give the market outlook that about 30% of MINISO's products will be interest based and the other 70% of our products will still be of high value proposition. In terms of the whole project progress and we estimate that by the end of June quarter this year, our merchandise gross margin were close to 60%. So if we look at the March quarter, I would say that we are a little bit ahead of this estimated timetable. [Indiscernible] our product is upgraded different from the past. Our margin -- growth -- our gross margin of different product categories now varies. That said, our future growth room of gross margin will come from the change of the product categories. For example, I just mentioned accessories. This product categories sales contribution increased by about 2 percentage points in the March quarter. But on the other side, for accessories, this category, its gross margin increased high single digits compared to the same period last year. So it contributed positive contribution to our increase of GP margin as a whole. So this is the first part. And the second part, don't forget that we still have the efficiency improvement project from our [no ho] supply chain. So I currently estimate that we still have some reducing or optimizing our in-product cost structure going forward in this year. So this is the answer to your first question. And to your question about IP product contribution. Obviously, the March quarter, we still see about 20-ish IP-related product contribution. I would say it's flat quarter-over-quarter and a little bit higher than last year, and we do not have a specific sales target of IP-related products, but we will try to keep a very competitive product portfolio in terms of IP products. And for your questions about the overseas market situation, so we have divided our overseas market into five major markets that is: North America. Latin America, Asian countries, excluding China, Europe, Middle East and North America. We will address them one by one. So for North American markets, its GMV increased -- total GM increased by more than 100% and the farthest among our overseas markets. Now we have around 120 stores in North America accounting for 6%, but its GMV contribution is nearly 10%. And in terms of GMV per store, this quarter, we saw 90% year-over-year growth and it has also recovered to 150% of the pre-COVID level. If you look at Latin America, total GMV increased by 62% year-over-year and the second fastest in overseas market. Now we have about 22% growth in this area, but its GMV contribution is close to 40%. In this quarter, we saw stores in Latin America. It's average sales per store increased by 42% and its sales per store is the highest among its peers. If you look at Asian countries, in this quarter, total sales -- total GMV increased by about 30%, right, and it accounted for about 45% of our total overseas stores, but its GMV contribution is relatively low at about 30%. So if you look at the pre-COVID same period, I would say that the GMV contribution from Asian market still have a lot of room to grow in this year or in next year. And if you look at the per store GMV, this quarter, it's increased by about 15%. If you look at Asian markets, you will see that this is very different. It's a large market with different countries, with a lot of population. So the country-specific recovery rate varies. As I just mentioned, if you look at Singapore, it recovered to -- it increased by about 90% year-over-year. The Philippines and Thailand also saw 50% year-over-year growth. But in Asia, we also have Indonesia, one of our largest overseas market. It increased by 21% in this quarter faster than the average. But if you look at countries like India, it was slower than other peers primarily due to the short haul inventory in this quarter, and we are trying to solve this problem now, and we will solve it. If you look at Europe, GMV increased by 34% in this quarter, and European stores accounted for about 10%, but if GMV, it's also comparable to that level. And the per store GMV in Europe recovered to about 85% of pre-COVID. Most -- Middle East and North America, GMV increased by 20% this quarter and this GMV per store increased by single digit in this quarter, and we have 7% of stores there and the GMV contribution about 4 -- 10%. In terms of our store opening target in calendar year '23, we, at this moment, do not want to adjust our target and we want to have some time to -- we want to observe more and then decide.
Operator: The next question is from the line of Lucy Yu from Merrill Lynch.
Lucy Yu : So domestically, we mentioned that store opening is going to exceed our previous expectations. So how many stores have we opened in the second quarter so far or year-to-date so far? Which part of China are we seeing accelerating expansion pace? Second question is on the domestic consumption pattern. Have we seen any change in terms of shopping frequency, track of consumer products, ASP as well as consumer -- normal shopping consumer in our stores? And lastly is on the overseas. Although we are not revising our full year guidance at the moment, but we have seen in the first quarter, store opening still lagging -- it's largely lagging behind our expectations. So could you please share the reason behind that as well as second quarter-to-date store opening in the overseas market.
Eason Zhang: This is Eason and I will answer your question. So for the first question, Yes, you are right, and we are highly confident that we will surpass our previous guidance of 250 to 350. Currently, we estimate that we can open 350 to 450 stores in China market on a net basis in calendar year 2023, and we will absolutely adjust dynamically according to the recovery of the home market in China. And if you look at the structure, I would say, Tier 1 and Tier 2 will have a lot of opportunities in this year. Maybe you have read from news report. We have opened a lot of flagship stores in China's top tier cities in recent months. So if you look at first quarter -- if you look at March quarter, about 53% of new stores come from Tier 1 and 2 cities. This is a new things that we have never seen during the past 3 years. And if you look at our retail partners, yes, we are highly confident we can tell from our strong pipeline in terms of new stores and both new and our old retail partners have open stores in this quarter. And especially in March quarter, we see a lot of our old partners. They have opened a lot of new stores because of their store recovered quite well. But by the end of the quarter -- by quarter end, our average -- our retail partners have 3.4 MINISO stores in China, and that is comparable to historical average. But to your second question about the customer behavior, let me take April as an example, as Mr. Ye just shared. Total GMV increased by about 8%. Personal GMV increased by about 50%. I would see this 50% yearly increase come from high single-digit ASP hike and about another 40% or so increase in our orders. And this has been the trend year-to-date. In terms of product categories, I see increased base related products are among the best sellers as you can see in the PPT now. This is some examples of our best sellers in this quarter. Many of them are IP-related products, so we have seen that in this quarter, no matter in China or in overseas market, our co-branding IP-related buying bulks or plushed toys increased very fast, and maybe we can share more in next quarter about our overseas buying business. In terms of customer profile, I would say there's no change. We still focus on young people, and most of our customers are females. And in terms of your third question about overseas store expansion plan, yes, we want to wait for a while to see if we have to adjust this plan. But if you look at historical numbers, the majority of our annual addition happens in the second half of calendar year. So I would say this will be the case in this year. And if you look at March quarter, originally, our plan was about 20 stores -- about 40 stores. And then we -- at quarter end, we added about 20. I would not say that this is a very bad case because considering that in April, we still add a lot of new stores in overseas markets. Obviously, we are still on track for new store openings in the overseas market.
Operator: The next question is from Anne Ling from Jefferies.
Anne Ling : Now my question is first thing is on what is the mix of the best-selling items? What is the definition of the background item for MINISO and what is the mix for this quarter versus in the previous quarter? And then the second question is regarding the overseas as the domestic market. What is the operating margin mix for this quarter? What has been driving these improvement in terms of margins? And also this lead to another question is regarding the selling expense, the SG&A. Moving forward, are we going to increase our selling expense ratio so as to drive higher sales when the market is fully opened?
Eason Zhang: This is Eason. In terms of best-selling items, yes, we have internal definitions and standards that we have a certain threshold that when a certain SKU sales contribution in a certain time period surpassed that threshold, we call it best sellers. In March quarter, we still see that a lot of our best-selling SKUs comes from the strategic product categories, as Mr. Ye mentioned. Let me share some numbers. So in this quarter, about 40% of our total sales in China comes from these strategic categories. And in terms of year-over-year growth, these best-selling SKUs achieved about 120% year-over-year growth. These best-selling SKUs. So I say these results are quite promising. And in terms of your question about segment margin, I would say we now have different distinct business segment, including MINISO China and MINISO overseas. If you look at MINISO China, I would say, it's above the company level operational margin, as you can see in our P&L in this quarter. But for MINISO overseas market as a whole because we still have the directly operated [indiscernible] in hand and it's ramping up. So we still see that overseas market as a whole. Its OP margin is lower than the corporate level. And hopefully, we have seen that TOP TOY's margin profile increased significantly as Mr. Ye just shared. Its gross margin increased by 9%, right? And it's bottom line, its loss ratio significantly narrowed compared to last year. So the third question is about the OpEx trend, right? Yes, if you look at the OpEx historical average, we are highly confident that we can still control OpEx ratio to about -- raising about -- raising all around 20%, as you can see in this page of PPT. If you look at the pre-COVID times, right, our SG&A ratio is below 20%. And during the 3 years in the COVID, we have some flags. But during the past 3 quarters, we still managed the whole OpEx ratio within or around 20%. In the future, we still target to control our OpEx ratio around 20% or so.
Anne Ling : Okay. Just a follow-up, Eason, if we have like overseas market growing a lot faster and then half of it is like a wholesale order. Does it mean that we have more operating leverage for the overseas market versus the domestic market? Or is that real matter?
Eason Zhang: This is still no way to be safe because during the past 2 or 3 quarters, we have seen the more significant operational leverage in China business because we are running our business in a unified market, right? A lot of cost that you can share, right? But for overseas market, especially for distributor business because we have distributors in different markets, different countries, a lot of costs that we cannot share with, but I probably agree with you that in the long term that with the increase of the sales of this business overseas market as a whole, we still have some potential in terms of operational leverage.
Operator: The next question is from the line of Veronica Song from Credit Suisse.
Veronica Song : My first question is about MINISO's directly operated overseas markets, mainly Indonesia, India and U.S.A. So what's the current store [UEM] profitability? Is there anything you can share? And also what kind of profitability shall we expect in the coming quarters? And my second question is regarding TOP TOY. So the company has been adjusting its store model in the past quarters. You also mentioned that we've been [nearing] losses as well for TOP TOY. So in the coming year, what will be our key focus for this brand? And also what kind of profitability shall we expect in the coming quarters?
Eason Zhang: Yes -- no, we have some major countries in terms of -- in our direct operational model, including the U.S. market, including the Indonesia and India market, as we mentioned. Compared to the U.S. market, our business in India and Indonesia is more mature and has a longer history, right? So for these two markets, we now are running in a very ideal status. If you look at it operationally, if you look at its bottom line, I would say it's very solid even under such a circumstance in which its sales recovery rate is about 60% or even something like that. For our U.S. market, if you look at its margin profile, I would say it's still too early to make judgments or to share with investors this kind of information. But as I mentioned, the U.S. market as a whole increased by more than 100% and its personal sales increased by nearly 6%. And we are very positive about our future growth in this market, and we still need some time to ramp up the store unit economics and see -- and make plans for next stage of growth. For TOP TOY I'll say we do not have a specific target in terms of store opening, in terms of topline or in terms of bottom line for it in this year because, as Mr. Ye just mentioned, China Bricks it's #1 priority in this year. So we want TOP TOY to make as much as it can in terms of product innovation and the whole team building and so on, but that doesn't mean it will still making loss this year. That's not necessarily the case. If you look at the top 4 business, I would say it's topline growth as a new business will still be higher than the company's overall revenue growth in calendar year 2023. And because of its sales leverage and its exclusive product, getting more and more sales. We will reasonably estimate that TOP TOY will significantly narrow its loss status in the coming year.
Operator: Thank you once again for joining us today. If you have any further questions, please contact MINISO's IR team. Our contact information can be found on today's press release. We will see you next quarter. Have a nice day. Thank you.